Operator: Good day, everyone, and welcome to the Chuy’s Holdings’ Third Quarter 2022 Earnings Conference Call. Today’s call is being recorded. At this time, all participants have been placed in a listen-only mode and the lines will be open for your questions following the prepared remarks. [Operator Instructions] On today’s call, we have Steve Hislop, President and Chief Executive Officer; and Jon Howie, Vice President and Chief Financial Officer of Chuy’s Holdings, Incorporated. At this time, I’ll turn the conference over to Mr. Howie. Please go ahead, sir
Jon Howie: Thank you, operator, and good afternoon. By now, everyone should have access to our third quarter 2022 earnings release. If not, it can be found at our website at www.chuys.com in the Investors section. Before we begin our formal remarks, I need to remind everyone that part of our discussions today will include forward-looking statements. These forward-looking statements are not a guarantee of future performance, and therefore, you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings for a more detailed discussion of risks that could impact our future operating results and financial condition. With that out of the way, I’d like to turn the call over to Steve.
Steve Hislop: Thank you, Jon. Good afternoon, everyone, and thank you for joining us on our third quarter earnings call today. We are pleased with our third quarter results, which started somewhat slow in July due to a record heat in Texas, but finished with strong top line momentum in August and September. This positive trend has continued thus far into the fourth quarter, and we believe that our philosophy of offering fresh, made from scratch food and drinks at an incredible value continues to resonate with our guests and is driving is the driving force behind our growth. During the third quarter, we implemented a 3.5% price increase that we believe maintains the balance between protecting our store level margins while maintaining the superior value proposition our guests have come to expect from Chuy’s. Even with this price increase, we believe the value gap relative to our peers remains strong. In terms of profitability, our team continues focus – continued focus on cost management and operating efficiencies resulted in a 17.5% restaurant-level operating margin, representing a 300 basis point improvement over 2019. Moving to key aspects of our four-wall operation. We continued to make progress on hiring and staffing our restaurants during the quarter through a number of initiatives, including our newly implemented mental health and personal counseling benefit, we’ve been able to continue to improve our team member retention rate with the positive benefits to our guest experience. Additionally, our team member referral bonus program has continued to improve our flow of new applicants. We sustained our positive momentum in our off-premise business during the quarter, mixing at approximately 26% and remaining above our target mix of low to mid-20s. We are pleased with our team’s off-premise execution, and we remain on track to complete the rollout of our catering program system-wide by the end of the year. Turning to menu innovation. In late October, we introduced Chuy’s Knockouts or CKOs to our guests. The CKO platform allows us to introduce quarterly specials consisting of old favorites and exciting new items that are offered on a limited time basis. We believe our CKOs create excitement and additional awareness around what differentiates Chuy’s and is a testament to our commitment to menu innovation and variety. Starting in late October, we introduced items such as Macho Burrito, Pork Boom-Boom Enchiladas and our new Chuy’s Fried Chicken Tacos as part of the CKO platform. We have also curated additional new items for our next CKO in the first and second quarter of next year, and we look forward to sharing our new innovations in future calls. I can assure you we are just getting started. During the quarter, we continued our market initiatives with a heavy emphasis on digital media, including the use of TikTok, organic influencer programs on Instagram, YouTube video advertising and a promotional advertising partnership with DoorDash. Moreover, in conjunction with our CKO offerings, we will partner with Chase to launch a new campaign this month as part of their Chase Ultimate Rewards program. Along with our new website, we believe our marketing efforts will allow us to reach a broader audience group and more effectively connect with both new and returning guests. Moving on to development plan. We expect to open two new restaurants in the fourth quarter for a total of three new restaurants openings of fiscal 2022. Due to supply chain delays, our Fayetteville, Arkansas restaurant originally expected to be a fourth quarter open will now open in early 2023. Additionally, we are planning on closing one restaurant in the final days of 2022 at the end of the lease term as we have already developed another restaurant in a more desirable location for the trade area. As we look forward to our fiscal 2023, we’re initially expecting to open between six and nine new restaurants with a focus on markets where our concept is proven with high AUVs and brand awareness. 2022 has shown us that the development time lines are more challenged in the post-pandemic world, especially with ongoing supply chain delays that remain out of our direct control. As a result, we’re tempering our forecast to account for this as we want to set a reasonable and achievable target, but one that we believe still represents the most units we’ve developed in the last four years. We will continue to work to secure additional openings as we progress through the year. Finally, I’m excited to announce that we accelerated our share repurchase program, which we completed in October. Additionally, as you can see in our announcement this afternoon, we are pleased to announce a new $50 million share repurchase program, which demonstrates the strength of our financial position and our commitment to long-term shareholder value. With that, I’ll now turn the call over to our CFO, Jon Howie, to discuss our third quarter results in greater detail.
Jon Howie: Thanks, Steve. Revenues for the third quarter increased 4.7% to $106.7 million compared to $101.9 million in the same quarter last year. This increase was primarily related to an additional 21 operating weeks from new restaurants opened subsequent to the third quarter of 2021. For the third quarter of 2022, off-premise sales were consistent with the third quarter of 2021 to add approximately 26% of that total revenue. In total, we had approximately 1,261 operating weeks during the third quarter of 2022. Comparable restaurant sales in the third quarter increased 2.6% versus last year, driven by a 6.2% increase in average check, offset by a 3.6% decrease in average weekly customers. Comparable restaurant sales increased 0.5% versus 2019. Turning to expenses. Cost of sales as a percentage of revenue increased 280 basis points to 27.3%, driven by an increase in cost of beef, chicken as well as fresh produce, cheese and grocery items. Overall, commodity inflation during the third quarter was in line with our expectations at approximately 21% and partially offset by menu price increases taken during the year. Based on the current market conditions, we expect our fourth quarter commodity inflation to decline to the high teens as compared to 2021. Labor costs as a percentage of revenue increased approximately 120 basis points to 30.4% primarily due to hourly labor rate inflation of approximately 10% at comparable restaurants as well as an improvement in our hourly staffing levels as compared to last year. This was partially offset by menu price increases taken during the year as we continue to look at the remainder of the year, we expect hourly inflation to remain at elevated levels of approximately 8% for the fourth quarter of 2022 as compared to 2021, in addition to a continuation of year-over-year staffing level increases. Operating costs as a percentage of revenue increased 160 basis points to 16.3% due to higher restaurant repair and maintenance costs, an increase in credit card fees and insurance expense as well as cost pressures on utilities and to-go supplies. Marketing expense as a percentage of revenue increased 30 basis points to 1.4% as the company reinstated its digital advertising campaigns across the nation. Our occupancy costs as a percentage of revenue decreased 20 basis points to 7% as a result of sales leverage on fixed occupancy expenses. And general and administrative expenses decreased to $6.7 million in the third quarter from $7 million in the same period last year, driven by lower performance-based bonuses, partially offset by an increase in management salaries, higher legal and professional service costs as well as an increase in recruitment fees. As a percentage of revenue, G&A decreased 60 basis points to 6.3%. In summary, net income for the third quarter of 2022 was $5 million or $0.27 per diluted share compared to $6 million or $0.30 per diluted share in the same period last year. During the third quarter of 2022, we incurred $1.2 million or $0.05 per diluted share in impairment, closed restaurants and other costs compared to $4 million or $0.15 per diluted share in the same period last year. The decrease was due to a reduction in the lease termination expenses and related impairment charges as well as a reduction in rent and holding costs paid on closed restaurants as the company continues to exit out of these leases. Taking that into account, adjusted net income for the third quarter of 2022 was $5.9 million or $0.31 per diluted share compared to $9.1 million or $0.45 per diluted share in the same period last year. Moving to our liquidity and balance sheet. As of the end of the quarter, we had $84.1 million in cash and cash equivalents, no debt and $35 million of availability from our credit facility. During the third quarter of 2022, we repurchased approximately 558,000 shares of our common stock for a total of $12.8 million. In addition, subsequent to the end of the third quarter, we purchased an additional 327,000 shares for a total of $7.8 million, which completed our existing $50 million repurchase program. As Steve alluded to earlier, given our strong financial position, we are pleased to announce that the Board has approved a new share repurchase program effective October 27, with authorization to repurchase another $50 million of our common stock. Turning to our 2022 outlook. We now expect to open three new restaurants for the full year, two of which are slated to open at the end of the fourth quarter. Net capital expenditures are now expected to range between $30 million to $32 million. Restaurant preopening expenses are now expected to be approximately $1.8 million to $2 million, and we still expect our effective annual tax rate to be between 12% and 14%. With that, I’ll turn the call back over to Steve.
Steve Hislop: Thanks, Jon. We believe we have put Chuy’s on the right path for long-term shareholder returns, driven by our operational excellence, sizable development opportunity and thoughtful capital allocation driven by the strength of our balance sheet. Through it all, we will continue to provide our guests with a unique Chuy’s experience through high-quality, made-from-scratch food and drink offered at an incredible value. Lastly, I would like to thank all of our team members for being in the backbone of Chuy’s. I’m proud to be working alongside them every single day. With that, we’re happy to answer any questions. Operator, please open the lines for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Drew North with Robert W. Baird. Please proceed with your question.
Drew North: Great. Thanks for taking the question. I wanted to ask about recent sales. You mentioned positive momentum has continued into October. But are you willing to quantify for us here just to level set October trends relative to August and September? And then perhaps maybe elaborate on what you believe has been some of the key drivers to improve sales momentum and the sustainability of those drivers as we look to the balance of the quarter and into 2023?
Jon Howie: Sure, Drew. I would just say, I’ll give you kind of the cadence of sales during the quarter. And then we’ll leave it at that and say that it’s kind of continued into the fourth quarter. But we saw soft sales, as we said, in July of about flat sales to last year. And then they approved in August to 3.5% and then in September to 3.9% over 2021, and those has continued into the fourth quarter. What’s driving those…
Steve Hislop: Number one is staffing. The staffing in the stores has definitely improved throughout the quarter. Also, we’re talking about our uptick in our social media as far as getting out there as being top of mind awareness. Those would be the top two.
Jon Howie: Yes. And those are before we started our CKO programs, too. So those are very new and we don’t really have results this year at this time.
Drew North: Okay. That’s helpful. And while I know it’s early, I guess, I wanted to ask how you’re currently thinking about the inflation outlook for 2023 as it relates to both commodities and labor, are you still seeing the 18% to 19% restaurant margin target or the 300 to 350 basis points above 2019 levels in the cards?
Jon Howie: With the inflation levels as they are, and we’ve said this in previous quarters, we would expect to achieve those once this inflation kind of starts decreasing and going back to some normal rates. I think we could see those. But as this continues to progress, those might be a little harder to achieve. This year – I mean, this quarter, we did achieve 300 basis points. As far as what we’re expecting from next year in inflation, I think we’re going to wait until closer to the end of the year this state kind of what we’re thinking. I know out there, we’ve seen 5% and 6% labor inflation estimated by some analysts as well as maybe 8% to 9% inflation in commodities. We don’t know if we’re comfortable with those figures yet or not. So we’ll probably release more of that in the fourth quarter results
Drew North: Okay. Understood there. And then maybe just to help provide some visibility to us. Would you share maybe the level of contracting or fixed contracts you have on the commodity basket at this point for the fourth quarter or early part of 2023, just to provide some visibility on the comps or on the commodities?
Jon Howie: Sure. We continue to try to lock in about 40% to 45%. We do have some contracts kind of rolling over in the fourth quarter that we need to recontract. We have contracted our fajita beef, which is about 60% of our overall beef costs through the third quarter at slightly better pricing than what we’re seeing today. We definitely wanted to get that locked in as what they’re talking about is 6% lower herd over next year. So we’ve got that locked in through the third quarter. We’re still working on ground beef at the present time. That’s currently just locked in through the end of the quarter – into the fourth quarter. But we again try to lock in 40% to 45% of our commodities.
Drew North: Great. That’s helpful. I’ll head back into the queue.
Jon Howie: Okay. Thank you.
Operator: Our next question comes from the line of Chris O’Cull with Stifel. Please proceed with your question.
Chris O’Cull: Thanks. Good afternoon, guys.
Steve Hislop: Hi, Chris.
Chris O’Cull: My first question just relates to development. Steve, I’m just curious what you’ve learned this year and what changes you may have made either to planning or project management or whatnot, but to just give you the confidence that you can open six to nine units next year?
Steve Hislop: Yes. Thanks, Chris. Yes, we’ve been working on for a while. And again, if you guys remember back in 2018, I think we opened 10 or so. So we’ve been there and done that. But the key thing for us is we’re really focused on the five states that would probably have been in the longest. We’re starting with Texas, and most of our growth will be in those states in the five, and we did expand it to two more, but we’re talking about Texas, Oklahoma, Nashville, Ohio. What am I missing, Johnny?
Jon Howie: Arkansas.
Steve Hislop: Arkansas. Yes. Arkansas and Oklahoma. So that’s we’ll be doing most of our development. We know those areas very, very, very well. We have updated all our Eastside information. And earlier this year, Jon – I mean, Chris, we also brought on a new Head of Director of real estate that’s joined us. So we’re getting out in front of it, and we’re pretty good. The key thing for us as far as it’s not so much finding the sites, it’s really the supply chain of the sites, whether it be just getting through the staffing issues on the city levels as far as getting through planning and zoning and all that. And also just getting the equipment, whether it be HVAC, coolers and all that stuff and the lead time and type of stuff like that has really plagued us on a daily basis as we’re moving through the projects. But the sites itself, they’re there. I will tell you, most of the sites that we’re looking at probably in the next year is probably ground up. I’ll tell you, it has been a little difficult to find a lot of hermit clubs, but we’re continuing to look at that, but we feel pretty comfortable with our pipeline.
Chris O’Cull: Will the openings be spread pretty evenly in 2023? Or is there any kind of – is it going to be more back loaded? I’m just curious how we should be modeling this?
Steve Hislop: Yes, I think it’s going to be, Chris, a pretty evened out quarter-to-quarter to quarter-to-quarter. So we’ll try to balance it out per quarter.
Jon Howie: Yes. Okay. And some of those ones that we pushed, Chris, into – are going to be in the first half, and then we’ll open up pretty steadily over the last half.
Chris O’Cull: Okay. And then how well have the CKO mixed? And how does the cost profile of these items compared to kind of the current product mix? I’m just trying to get an understanding if these would be accretive to gross margin, if you saw people mix towards these types of limited time offers.
Steve Hislop: Yes... Yes. Great question. Chris, we just a week into it. I hope you go by and try some. We started a week ago. And these probably the price points and the mix are very, very similar to our current menu. As I said in my last call, I think in the last quarter, as we move forward, specifically in quarter three and four of next year, you’re going to see two out of the three items would probably look very much like the price points within our current menu. The mix would be very similar. The cost of sales will be very similar. We probably starting then we’ll have one barbell approach to one of the items that will be probably be a little bit higher priced, let people order up if they like it, probably something that you wouldn’t see jump onto the menu in the future, but it would be a barbell approach, and that would be more in the second half of next year. So I’m not anticipating any major cost of sales or major mix movement as far as the CKO’s go
Chris O’Cull: Okay. And then just lastly, and I have received a digital advertisement on the most recent one. And I’ve been receiving more digital marketing from Chuy’s this year. And I’m just wondering if you could share any kind of stats you may have on how effective digital marketing has been for the company and driving transactions.
Steve Hislop: Well, the philosophy behind most of the digital marketing, Chris, as you know, is really to be top of mind awareness in a market group. So that’s kind of what we’ve really looked at it for the first half. We really have only just been basically, until we did start the CKOs, there was really no news except top of mind awareness news. So it’s a little bit too early to give you the stats and say that we really move the needle with it besides of just making sure the awareness of Chuy’s is out there right now.
Chris O’Cull: Okay, great. Thanks guys.
Steve Hislop: Thank you.
Operator: Our next question comes from the line of Joshua Long with Stephens. Please proceed with your question.
Steve Hislop: Hey, Josh.
Joshua Long: Great. Thank you for taking my question. Hi, how’s it going?
Steve Hislop: Good, buddy.
Joshua Long: I appreciate the color on the trends through the third quarter and then understanding the momentum has continued here into 4Q. Would it be possible to just talk high level or whatever detail you could provide for 4Q 2021, what that cadence looks like just as we think about kind of a normalizing consumer activity and just any sort of year-over-year volatility that might have been in there from Omicron, Delta, any of those other things that hopefully, we don’t have to talk about too too much going forward.
Steve Hislop: Sure. I mean we actually had a pretty strong December. Omicron really didn’t start till maybe the last week or two of December, and then the first quarter was really affected by that. So we are rolling over some pretty decent numbers when you’re looking at 2000 – or looking at the fourth quarter in 2021. As far as leverage, though, talk a little bit about that, we have definitely decreased leverage in the fourth quarter generally in cost of sales. As you know, we continue to have pressure there. So I mean, we expect probably 20 or 30 bps in there in the cost of sales line, probably another 20, 30 bps over Q3 in the labor line. And then the big one is the operating expenses, which has a lot more fixed cost in that. And so there’s probably about 50 to 60 bps in that operating line. So those are – hopefully, that answers your question as far as sales and then operating leverage.
Joshua Long: Very helpful. And when we think about some of the moderation that you called out for the inflation or just the inflation for the basket heading into 4Q, are there some components there that are you’re seeing a little bit of relief? Is that a function of some of the pricing that you’ve taken here lately?
Steve Hislop: Well, we are seeing a little relief like in chicken and some things like that, but that’s being offset by what we’re experiencing and lettuce and tomatoes right now, and they’re talking about that all through the fourth quarter, lettuce is hitting almost all-time highs right now, and tomatoes are up as well over the last eight weeks by about 60%. And I think they will continue as that crop was hit hard in Florida. So those are things that are kind of offsetting some of those favorable things.
Joshua Long: That’s helpful. And last one for me, as we think about just the environment we’re in with steady labor inflation and then also some of the permitting delays that you talked about the supply chain delays that are impacting new unit development. Is there a silver lining to that, to some extent, does that give you a little bit more time or flexibility in building that labor pipeline, which is important to support the longer-term unit growth there? Just any sort of thoughts there in terms of how that pipeline is shaping up and for some of those key positions either front of house or back of house.
Steve Hislop: Yes. We’re very pleased, as I mentioned in the script that we’ve moved rather well into this quarter getting to where I’d say we’re about 90%, 95% staffed in all our units, which you never ever staffed in the unit, so you’re always constantly hiring. So we’re feeling pretty comfortable over the last quarter, we’ve gotten very comfortable and really starting to run our restaurants very efficiently with the proper staff. So we’re pretty happy with that. I don’t know if I could ever say that’s a silver lining. I don’t look at it that way. Again, it’s just something that we’re attacking every single day.
Joshua Long: Helpful, thank you so much.
Steve Hislop: Yes.
Operator: Our next question comes from the line of Brian Vaccaro with Raymond James. Please proceed with your question.
Steve Hislop: Hey, Brian.
Jon Howie: Hey, Brian.
Brian Vaccaro: Hey. Thanks guys. Good evening. Good to hear from you. Could you just remind us when the 3.5%, I think it was 3% to 3.5% price increase was taken during the third quarter.
Steve Hislop: Right at the beginning of the third quarter, Brian.
Brian Vaccaro: Okay. So it’s kind of early to mid-July, something…
Steve Hislop: Yes. Exactly.
Brian Vaccaro: Great. Great. And on labor, it’s break you hear staffing levels continue to improve. Could you, I guess, provide more color on what you’re seeing from a turnover perspective and just maybe even more interestingly, progress you’re making sort of training new members and rebuilding the culture sort of within your restaurants? Any additional perspective on how kind of key guest metrics are trending as a result of that?
Steve Hislop: Yes. The key for us is we’ve always had very little turnover, very especially compared to the casual dining industry. I think I mean our management turnover is right around that 25%, 25.6% range, and our hourly turnover was right approximately around 100%. Again, the key for us has always been and what we talked about the most is we work on retention. We don’t work on turnover and retention and keeping our employees is huge for us, and that’s been a key thing for us. And it’s definitely worked.
Brian Vaccaro: Okay. And I guess, last one for me, just on a lot of companies is really on the other OpEx line. There’s a lot of companies seem to be experiencing sort of unprecedented pressure on utilities and repair and maintenance in recent months. Can you help frame how far above normal the levels that we’re seeing and the lines are currently running. There’s obviously different dynamics within each, but maybe also how long you see some of these dynamics playing out over the next couple of quarters?
Jon Howie: Yes. I think utilities alone has been close to 30 to 50 bps. And then when you’re looking at the repairs and maintenance, obviously, that’s more volatile, but that’s been probably another 20 or 30 bps.
Brian Vaccaro: And would that be versus sort of pre-COVID levels, Jon? Or is that sort of a year-on-year that you’re giving those basis points…
Jon Howie: I would say that’s what I’ve given you is year-over-year. But when you’re looking at our operating expense compared to 2019, you’re looking, we’re up 250 bps [ph] over 2019. And a lot of that is about 100 bps of that is really related to delivery cut fees because that’s recorded in there. And you know our strategy that we’ve had over the last three years is to really get to margin neutral out the back door. And we’ve finally accomplished that. And so as we increase those revenues or the prices for third-party delivery, obviously, that ultimately increases our fees as well.
Brian Vaccaro: All right. That’s very helpful. Thank you.
Jon Howie: Thank you.
Operator: Our next question comes from the line of Nick Setyan with Wedbush. Please proceed with your question.
Steve Hislop: Hey, Nick.
Jon Howie: Hey, Nick.
Nick Setyan: Hey, guys. Great quarter. Just a couple of clarifications. The pricing was 6% or 6.5% in the quarter? Or was it actually 6.5%?
Steve Hislop: So we’re just slightly – we’re about 6.75% all-in pricing with our two price increases, one in February and then one in July. So pricing in the menu today is about 6.75% to 7%.
Nick Setyan: And that’s today as in Q4 is going to be 6.75% to 7%. What was that – what it was in Q3?
Jon Howie: That was what was all in Q3 and will be in Q4.
Nick Setyan: Got it. Okay. And then the next pricing is in Q1…
Steve Hislop: Yes. Yes, it will be February of the upcoming year period two.
Nick Setyan: Are you thinking about just being a little bit more aggressive to offset inflationary pressures in the first half? I mean I know everybody across the industry was a little bit more patient this year and now everyone is kind of catching up. What’s your philosophy on it going forward?
Steve Hislop: Yes. Right now, we are really doing – going through our competitive analysis in all our markets, and that will continue right up through the end of the year to look at what everybody else has done. We feel pretty great about our value, and we definitely feel we have some room if we needed to. And so that’s a key part for us. But right now, we’re going to wait until we get all that info. We don’t want to leave money on the table, but we don’t want the value is a key deal for us as we move through 2023. So I don’t have a great answer for you as far as what I’m planning on doing until I get all the research in.
Nick Setyan: And Jon, when you talked about the deleverage numbers earlier, that was sequentially quarter-over-quarter, right? That was not year-over-year?
Jon Howie: Correct. That’s quarter-over-quarter from Q3. Historically, if you look back in 2019, that was kind of similar to what we had from a leverage standpoint back then.
Nick Setyan: Okay. Thank you very much.
Steve Hislop: Thanks, Nick
Operator: [Operator Instructions] Our next question comes from the line of Todd Brooks with Benchmark. Please proceed with your question.
Steve Hislop: Hey, Todd.
Todd Brooks: Hey, thanks and good to talk to you guys. Just a couple of tag-ins here. You talked about staffing improvement being an unlock for the same-store sales momentum, can you remind us what staffing levels were Q4 and Q1 last year and walk through what the Omicron experience was? I know it wasn’t a much in Q4, but as you got to Q1, what kind of exclusions looked like if you had to constrain the menu in operating hours. I’m just thinking you’ve got a much better staff position and knock wood that we don’t have something as disruptive as Omicron should be a nice driver tailwind to same-store sales?
Jon Howie: Yes. I mean that’s what we’re looking for in the first quarter. Most of our Omicron hit in kind of the first and second period. And so just to remind you, our staffing levels, was probably, I think it was about 85% to 90% then. But what we did was there are several stores that we just had to close down or closed down to delivery only because we lost enough fat that we had to close the restaurant down to go only. So we did have that. I can’t – I don’t have it at my fingertips, how many actual days we lost, but it was – it’s fairly significant. I can get you that.
Todd Brooks: Great. And then my last one is, Steve, you talked about catering being rolled out system-wide by the end of this quarter. But can we talk about trends. I hear that caterings stronger than pre-pandemic for a lot of operators now seems to have a lot of momentum. What are you guys seeing as far as percentage of mix and maybe uptake in the newer markets that you’ve been rolling out? Thanks.
Steve Hislop: Yes, Jon, if you’ll get the percentage of mix. Yes, it’s picked up for us over the last two quarters, and it’s continuing. We’re really excited about what we think it can do for us obviously, through the holidays, it was good a year ago on the holidays, but we’re definitely seeing an uptick. Do you have the percent of sales on that right up to…
Jon Howie: If I remember correctly. 2.6 of sales.
Steve Hislop: Yes, which is a nice increase over a year ago and over 2019, obviously.
Todd Brooks: That’s great. Thanks guys. Congrats on the quarter.
Jon Howie: Thanks, Todd.
Operator: Our next question comes from the line of Andrew Strelzik with BMO Capital Markets. Please proceed with your question.
Andrew Strelzik: Good afternoon. Thanks for taking the questions. My first one is just – if you could kind of speak to just the consumer spending environment and what you’re seeing, obviously, I understand the accelerating comp trends. But just is there anything either regionally or the way that customers are treating your menu or anything like that? Obviously, you’re promoting the value and enhancing the value. But just anything that you’re seeing that you think might be creeping in there or not?
Steve Hislop: We really haven’t seen a whole change, whether it be demographically or anything as far as that goes. We might have seen a little bit less incidence on alcohol sales. A little bit especially in the beginning of the period. And as it moved in as a quarter with the weather and lack of patio sales because of the hot weather in Texas. But overall, no. And regionally, there’s really no difference. Menu mix is really not a whole bunch of difference. During the quarter, we definitely added a few of the items back in from the third quarter, and you did see some menu mix change because of the items we added back in. But nothing that would toss any worry about where that’s going.
Andrew Strelzik: Okay. Great. And then you just touched on the catering side, but just more broadly on off-premise, I mean, stable as a percent of sales year-over-year. Obviously, as we’ve seen the kind of macro evolve and you talked about taking pricing on delivery, dine-in has evolved as well. Can you just talk about how you’re thinking about driving that business going forward? And has it changed kind of your view on where you think that maybe ends up over time? Or just any color on more broadly on off-premise and the stability there.
Steve Hislop: Yes. As we’ve mentioned to everybody before, we’ve been so consistent over the last year, 1.5 years in our to-go sales and off-premise sales has been amazing in that per week in that $2.1 million to $2.3 million every single week for the company. And that’s continued to move. And as we’ve always said, we felt that before the pandemic, we were in that 12% to 14% range. I think last quarter, we finished right around 26%. So we’ve almost doubled it. And Jon and I always consistently said that we’re expecting it to level out as we increase the dining room sales and move them back inside the four walls. We’re going to maintain in the low to mid-20% range. The caveat on that is we might have a little upside if we can continue to really roll out and really work hard on their catering. So we’re pretty much still there, and that’s right where our goals are. And we’re pretty excited about the consistency of that. And the key thing that we’re always looking at is obviously the convenience. That’s huge. It’s one of our pillars, and that’s the key thing. And we think our convenience, it’s easy to get to go as a quick casual or anywhere else you’re going to go. So we’re pretty excited about that as a continued part of our business exactly where it’s at.
Andrew Strelzik: Okay. Great. And then just the last one for me. I know over the last year plus getting some of the commodities locked. Those discussions have been challenging. I’m just curious how kind of the tenor of those conversations is evolving now as you try to look at 2023 and maybe the commodity markets have evolved as well. I guess, what are – the puts and the takes are they narrowing? Are those conversations becoming easier? Or is that still limiting your ability to kind of go whether it’s further out or get the prices that you’d like? Thanks.
Jon Howie: Well, I mean that’s a great question. I mean, we continue to have those tough conversations because rails right with the volatility. A lot of the vendors don’t want to go too far out. And so we’re continuing to have those discussions. We’re very pleased, like I said earlier, to have gotten the heat of beef out through the third quarter. And so we’re, again, working on our ground beef now. We don’t lock in our chicken, as you know, it’s a fresh product, and we can’t lock in our produce, obviously, because that’s fresh product as well. But again, you’re right. I mean those are tough, but we continue to have those, and we’re going to strive to continue to get at that 40% to 45% level.
Andrew Strelzik: Great. Thank you very much.
Jon Howie: Thanks.
Operator: There are no further questions in the queue. I’d like to hand the call back over to Steve Hislop for closing remarks.
Steve Hislop: Thank you so much. Jon and I appreciate your continued interest in Chuy’s, and we’ll always be available to answer any and all questions. Again, thank you. Stay healthy, and have a good evening.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.